Andrew Williams: Good morning, and welcome to Halma's half year results presentation. Last time I was here in June when I was presenting our full year results presentation, I talked a lot about how COVID has really tested every aspect of our business and how pleased I was not just with what we'd achieved through our strong financial performance but also how we'd achieved it. And I'm pleased to say that although those challenges have continued to evolve, we've once again delivered a strong performance with record results, record revenue, profit and dividends for the first half of the year. It's obviously required another extraordinary effort from people across Halma. And I have to say how impressed I've been and thank them all for their dedication, their hard work and commitment to ensure that we continue to perform well through such challenging times. That leadership is a core element of our sustainable growth model. And it explains that stable growth, and it really explains Halma's ability to continue to deliver relentlessly whatever challenges we may face. So let me remind you of the core elements of that sustainable growth model because it's been constantly evolving over the last 50 years and is a well-established system within our group, and I think it's something that really differentiates us from many other businesses. In doing so, at the outset, I want to be clear, we do not have a separate sustainability strategy. Sustainability is embedded in everything we do. And I think this presentation this morning will really bring that to life. So our purpose of growing a safer, cleaner, healthier future for everyone every day is at the heart of our sustainable growth model. It defines our culture. It ensures that we focus on providing solutions to the challenges that are facing people and the planet. So for example, conserving scarce natural resources as populations face the impact of climate change and growing populations; the meeting demand, increasing health care demand as populations grow, as populations age, and also keeping people safe as populations urbanize. And we describe our culture through Halma's DNA. And Halma's DNA provides that inclusive motivating and stretching ambition that every one at Halma knows they need to follow to play their part in delivering our purpose. There are 4 other core elements in our sustainable growth model, and each of these elements are very much interlinked with each other and also with our purpose and DNA. So we've got our growth strategy, which is to focus on niches in global markets, which have those resilient, long-term growth drivers. And then we sustain and expand our growth through continued investment, both organically but also through acquisitions. We have our business model which enables us to be agile and responsive to change the technology in different markets. And in the longer term, Halma's agility ensures that we can evolve our portfolio to meet those growing opportunities. And in the shorter term, our companies have the freedom and most importantly, their own resources to be able to be innovative and agile and responsive to the way their markets change, and we support all of that through Halma's growth enablers. As I mentioned earlier, you can achieve nothing without great people. And in Halma, we really ensure that we have the best leaders and people as we grow, so leaders and people for the future. And we've got some great examples of that over this past half year. You've seen how we've managed to ensure we've got great leadership succession across the group, whether that's a new chair, new sector CEOs, new divisional CEOs, new company MDs. And we've continued to build a highly inclusive and diverse culture. And we set real clear targets and expectations at all levels within our business. And finally, we have our sustainability framework, which really ensures we prioritize the areas of sustainability that are most material for Halma. And we look to how we can support our companies to achieve them, and we'll hear more about those later on in this presentation. When you look at that sustainable growth model, it's important to recognize that we've been really disciplined over a long period to evolve and align each of those elements collectively. And it's that that's enabled our companies to create value through the many different circumstances that they face. So let's take what we look at today. Like many of our peers, we're currently experiencing on the one hand, significantly higher demand in many of our markets, at the same time, an accelerated pace of change in many of those markets. And yet on the other hand, we're seeing increased macroeconomic uncertainty and supply chain, logistical and labor market disruption. Well, it's through this sustainable growth model that Halma companies are empowered and able to meet these challenges in a variety of ways. So for example, they can find alternative suppliers because they have their own procurement functions. They can do dine-in, alternative components because they control their own product development, R&D. They can increase contingency stock of key components because they've got control over their own manufacturing operations and a strong balance sheet. And they can selectively increase pricing because they have their own channel to market and strong market positions. I'm going to give you more examples of how we're sustaining the success later. But for now, let's look at our performance just during this first half of the year. So we delivered strong growth and record revenue and profit. We've delivered strong growth across all our 3 sectors and across all our major regions. We've had high rates of organic growth and a good contribution from recent acquisitions. Revenue was up by 19%, including a strong organic growth element, but also continued good order momentum. Our profit increased by 27%. It's worth noting that revenue is 13% higher and profit 20% higher than they were 2 years ago. And we've had a significant and impressive 74% increase in statutory profit, including a gain on the disposal of Texecom in the second quarter. Even with these very high levels of growth and the consequent demands on working capital, we continue to deliver strong cash generation and increase our investment. So our cash conversion was 85%, and we maintained a strong balance sheet and the level of gearing remained broadly unchanged with where we were at the end of the full year. Our R&D spend increased in line with our revenue growth and was maintained around 5.6% of revenue. And we completed 10 acquisitions with a total spend of GBP 107 million in the first half of the year. As a result of that strong growth, our stable gross margin and the slower-than-expected return of  variable overhead cost reductions ensured we delivered higher returns. Our return on sales increased to 21%, which is towards the higher end of our 18% to 22% target range. And our post-tax ROTIC was up by more than 2 percentage points to 14.9%, which really reflects the benefit of that strong constant currency growth. So it's a strong performance, the financial strength that we've got and our confidence in the future which has supported a further increase in our interim dividend of 7%, which maintains our long-term progressive dividend policy. Let's look ahead now to the full year, where we've maintained our positive outlook for the full year. You remember, we recently upgraded our full year guidance in September, and we're maintaining that positive guidance today. It's important to note our companies are not immune to the macroeconomic challenges that we faced, and we continue to see operational disruption. However, to date, we haven't experienced anything material. And it's important to reflect that the group's performance really is underpinned by 2 things. First of all, our company's ability to quickly adapt to address those challenges as they arise, as I mentioned earlier. But also remember that the group benefits from having a very diversified operational footprint, which means that it limits our exposure to any single operational risk across the whole group. There are other factors that support our positive outlook. We have a strong order book, and our order intake has continued to be ahead of revenue and of order intake for the same period last year. We continue to invest in the organic growth of our existing businesses, and we have a healthy M&A pipeline. So in the second half, we expect to make continued progress with more typical rates of revenue growth and return on sales against a stronger comparative but more in line with historic levels. I'll now hand over to Marc, who will take you through our financial performance in more detail.
Marc Ronchetti: Thank you, Andrew, and good morning, everyone. As you've heard from Andrew, we've delivered a strong performance in the first half, particularly pleasing financial performance given the ongoing volatility faced by our operating companies, including the continued effects of supply chain, logistics and labor market disruptions. The last 6 months have represented another test and further reinforced the value of our sustainable growth model, the benefits of our clear purpose and strong culture, our positioning in global niche markets with strong long-term growth drivers and the flexibility of our business model. This allows our companies to be agile and responsive in fast-changing markets. So let's start now with the headline performance. We delivered record half year revenue and adjusted profit with revenue up 19% and profit up 27%. This performance was against a weaker period in the first half of last year when we saw the largest impacts of COVID. That said, as Andrew stated, if we compare to the previous half year in 2019/'20, revenue was 13% ahead and profit 20% ahead. If we look over the longer term, it's great to see the compound average growth rates of both revenue and profit in excess of our KPI at 11%. So let's now look at the drivers behind this performance, and we'll start with group revenue growth. As you can see on the right-hand side, revenue grew 19.2% compared to the first half of last year. This represents an improvement of GBP 119 million and a further sequential improvement of around GBP 40 million from the second half of last year. There's clearly lots going on in both the prior year comparator and in the current year growth trends. And whilst I cannot be explicit about the split between restocking post the pandemic, stocking-up activity to mitigate disruption and underlying growth, I am confident that the underlying demand drivers in our markets remain strong. So back to the chart and working from left to right. Great to see the strong levels of organic constant currency revenue growth at 23%, with growth across all 3 sectors and all major regions. It's also great to report the contribution of 4.5% from acquisitions as we continued our activity across all 3 sectors. This was partly offset by the disposals of Fiberguide Industries in the second half of last year and Texecom in August, both part of our ongoing portfolio management. And finally, with sterling strengthening substantially, there was a negative effect of 6.2% from currency. And with that, this completes the bridge to our reported revenue increase of 19.2%. So looking now at our revenue performance by destination. The chart on the left shows the reported revenue split by destination and reported growth by region, while the chart on the right shows the organic constant currency growth by region. It's pleasing to see strong performances across all major regions on a reported basis. As we saw at the full year, this mainly reflects the mix of businesses in each region and their end market dynamics, including the relative strength in the first half of last year. This opposed to purely geographic specific drivers. So on that basis, I'll pull out more detail as part of the sector reviews. If we look at the reported revenue, this also includes the contribution from acquisitions, notably Static Systems in the U.K. and PeriGen in the U.S.A. and also reflects the impacts from this year's disposal of the U.K.-based Texecom and last year's sale of Fiberguide Industries in the U.S.A. Currency translation had a negative impact in regions outside the United Kingdom and in particular, in the U.S.A. Given the relative scale of the acquisition and currency impacts, the organic constant currency trends in the right-hand chart give us a better feel for the underlying growth rates. It's always pleasing to report strong growth in all major regions, which was also broadly based across all 3 sectors, reflecting the strength of the end market drivers. Highlighting some of the bigger movements and starting with our largest market, the U.S.A., where we saw the combination of very strong growth in Environmental Analysis, driven by Optical Analysis and Gas Detection subsectors, good growth in the Safety sector, and while still positive, slower growth in Medical. This largely is a result of the reverse of the dynamics that we saw in the prior year, where we're seeing an increase in elective health care procedures, partly offset by decline in the demand for COVID-related products and services from the exceptionally high levels in the first half of last year. Looking now at the U.K., where we delivered exceptionally strong growth of 46%, acknowledging the weaker comparative in the first half of last year. This U.K. performance was driven by the safety sector. We saw a strong recovery in fire detection and a benefit from a significant road safety contract in people and vehicle flow. Asia Pacific also stands out with 30% growth, benefiting from the post-pandemic recovery across all sectors with very strong growth in China at 32%. So switching now to adjusted profit. We delivered a record profit with profit growing strongly on both the reported and organic constant currency basis. Looking at the detail and, again, working from left to right, organic constant currency profit was up 31.7%, reflecting an exceptionally high return on sales. This is a result of slower-than-expected return of variable overhead costs following our actions last year, coupled with the leverage effect of our strong revenue growth. I'll look in more detail at return on sales trends in a moment. M&A and currency effects on profit was similar to those on revenue with acquisitions net of disposals contributing 2.3% profit and a negative effect from currency translation of 7%. And this completes the bridge to the headline profit growth of 27%. Let me now give some more detail on return on sales trends. The chart on the left shows return on sales for the 5 years prior to the pandemic, split by half year, the dark green bars; the FY 2021 half years, the light green bars; and then the first and second quarter of this year, the blue bars. A fair bit of detail but worth bearing with me regarding the trends. So if we look at the dark green bars, despite the changing portfolio and variability at the individual operating companies, there's been a very high level of consistency at the group position over the 5 years before the pandemic with an average return on sales of 20.2%. This is in the middle of our target range of 18% to 22% where I've shown that with the gray shading. You can also see the typically lower, albeit consistent, return on sales in the first half of each year. If we now focus on last year, represented by the light green bars, we see that in the first half, in reaction to the declines in revenue as a result of the initial lockdown, our agility enabled us to make material discretionary cost reductions ensuring we maintained return on sales. In the second half, the second light green bar, we saw stronger revenue dynamics, but a slower return of variable overhead costs. This resulting in exceptionally strong return on sales, above the upper end of our target range than any previous H2 result. We then see this effect persisting into the first quarter of this year, the first blue bar, where not only did we see an exceptionally high return on sales compared to our range, but a level significantly ahead of any previous H1 level, a combination of the exceptional strong growth, our ability to maintain gross margins and a slow return of variable overheads. With variable costs now rightly returning and stronger revenue comparatives, return on sales returned to more normal levels in the second quarter, in fact, pretty much back in line with what we would have expected to have seen in a typical H1 result. So what does all this mean? Well, put simply, and align to the statement from Andrew, I expect us to deliver return on sales more in line with historic levels in the second half of the year. It's also worth noting that the second half will include the vast majority of our IT upgrade spend for the year, which we expect to amount to around GBP 10 million in the second half. Taking a big step back and thinking more widely with regard to variable overheads, whilst we'll no doubt see some changes to the way we work, including a reduction in travel, overall, I do not expect these to have a material structural impact on our cost base moving forward. Looking now at cash flow and net debt. I was really pleased with our cash conversion at 85%, a solid performance given the strong growth in the period. As expected, this strong growth resulted in a higher-than-usual working capital outflow of GBP 26 million. That said, it was great to see that our underlying working capital performance remains strong. And this discipline enabled us, where appropriate, to make some investment in component stockholdings in order to mitigate potential supply chain disruption. Given the outlook for more typical rates of revenue growth in the second half, I expect cash conversion for the year as a whole to be in line with our 90% KPI. Moving on to net acquisition spend. This was GBP 58 million, reflecting the 10 acquisitions completed in the period, earnout payments for past acquisitions net of the GBP 65 million received following the Texecom disposal. With other elements such as CapEx, tax and dividend payments in line with expectations, Net debt was GBP 280 million, representing a net debt-to-EBITDA ratio of 0.76x. This unchanged since the year-end and well within our typical operating range of up to 2x gearing and most importantly, giving us substantial liquidity and capacity for future growth investment. Turning now to the sectors where for the first time, we're reporting on a 3-sector basis. This aligned with our purpose and our focus on the safety, environmental and health markets. So let's start with Safety. While I'm pleased to report a strong performance across all major regions and major segments, this despite the continued challenges from supply chain, logistics and labor markets, revenue growth was 19% and included a positive contribution from acquisitions of 1% with negative effects from the disposal of Texecom and from currency translation of 3% and 4%, respectively. Therefore, a very strong organic revenue performance of 25%, which was driven by substantial recovery in our fire detection businesses, which have been most affected by the lockdown restrictions in the first half of last year. This was also a key driver of the U.K. performance given the impact of the U.K. furlough scheme on site access last year. People and vehicle flow also performed strongly, driven by significant road safety contracts in the U.K. and China at NavTech and continued strong growth at BEA, supported by a strong order book for its touchless and automated entry products. In line with the group trend, return on sales increased to 23% with a stable gross margin and the benefit from the slower-than-expected return of variable overhead costs in the first quarter. Finally, it's great to see the continued investment with R&D spend increasing to GBP 18 million, broadly in line with revenue. Looking ahead, I expect the sector to make further progress in the second half against a stronger comparative and deliver a strong full year performance. So moving now on to Environmental & Analysis, which delivered strong revenue growth across all segments and regions. Reported revenue grew 18%, which included a 7% negative effect from currency translation, a 4% contribution from acquisitions, including Sensitron, Orca and Dancutter, offset by a negative effect of 4% from last year's disposal of Fiberguide Industries. It's great to see that contribution from acquisitions, no doubt a direct consequence of our investment in the dedicated sector team at the beginning of the year. The underlying strong organic revenue growth of 25% reflects higher industrial activities, COVID restrictions eased and the wider benefits of increasing focus on protecting the environment and conserving scarce natural resources. These trends supported a strong recovery in gas detection and a strong performance in water analysis and treatment. Photonics also performed strongly, continuing to benefit from demand for technologies that support the building of digital and data capabilities. Looking now at profitability. The sector delivered a very strong profit performance with an increase in return on sales to 25.4%, this despite the small decline in gross margin, driven by business mix, reflecting the ongoing proactive overhead management across the sector. Investment was maintained at a good level given the business mix with R&D expenditure of GBP 10.3 million, representing 4.9% of sales. In FY '22, I expect E&A to deliver a strong full year performance with continued revenue growth, albeit with a more typical level of return on sales in the second half. Turning now to Medical, where organic revenue growth of 18% largely reflected the opposite headline trends to those seen in the prior year. We saw an improvement in patient demand for elective and discretionary procedures as the effects of the pandemic moderated. This offsetting a reduction to more normal levels of demand for products and services related to the treatment of COVID-19 from those very high levels that we experienced in the first half of last year. Fantastic to see a positive contribution of 11% from acquisitions, this including PeriGen in the U.S. and Static Systems in the U.K. There was an 8% negative effect of revenue from currency translation, driven by the sector's U.S. exposure. Turn to profit. Good to see a small increase in return on sales, reflecting a benefit to gross margin from favorable product mix, offset by an increase in R&D spend to 6.2% of revenue as a result of changes in business mix and investment by recently acquired companies. Looking ahead, I expect Medical to make further progress in the second half to deliver a good performance for the year as a whole. Looking now at our performance against our financial KPIs. Overall, a really pleasing and excellent performance in the first half, with record revenue and profit growth substantially ahead of our KPIs. A solid cash performance, especially given the working capital required to support the exceptional level of growth. This growth delivered alongside high returns with ROTIC benefiting from the strong levels at constant currency growth and return on sales at above-average levels. As ever, the short-term performance delivered whilst maintaining high levels of investment, both organically and through acquisition. So in summary, these were record results with strong growth on both the reported and organic constant currency basis. We delivered a strong revenue performance across all sectors and major regions. Profit increased substantially, both on a reported and organic constant currency basis. This growth delivered with continued high returns and driven by very strong return on sales during the period. We delivered a solid cash performance, which, together with our robust balance sheet, supports our continued investment in future growth. I'll now hand you back to Andrew for a strategy update.
Andrew Williams: Thanks, Marc. So now I'm going to give you an update on our strategic progress and also where our current priorities are. Earlier on, I talked about how the core elements of our sustainable growth model really determine our actions and our investments, both as a group and within the individual companies. And for the next few minutes, I want to really bring that to life. And to set the tone, I want to show you a short film now, which we use at our Accelerate Halma event a few weeks ago. You remember Accelerate Halma is our annual event where we bring together all of the leaders from across the group to really understand what our priorities are for the year. And this year, we focused on our sustainability framework and how that fits within our overall sustainable growth model. And I think this film does a great job of doing just that. [Audio/Video Presentation]
Andrew Williams: As you can see, each of the voices on that film were Halma people, and I think that really adds a powerful message of how our companies bring our purpose to life, but also how they create value. And that's something I want to look at now. How does our sustainable growth model create value for our stakeholders over the long term. And it's through this combination, the combination of delivering growth returns but also growing the positive impact we have on the world through how we operate, but also through the solutions that we provide. We focus on 5 key areas where we really focus our investment and our resources: organic growth, M&A, talent, sustainability and our infrastructure. And it's really critical that each of these have an overall top-down group strategy, but at the same time, that can translate into action down in the individual operating companies. So I want to explain this a little further, and I'll use 2 examples. I'll look in a bit more detail at M&A, but first, look at our sustainability framework and how that really plays out down in the operating companies. So to start, let's zoom out to look at where we are at the group level. So this graphic shows that we're prioritizing our efforts to amplify our positive impact through 3 key sustainability objectives. And these are climate change; diversity, equity, inclusion; and the circular economy. These objectives are supported by group policies and targets. So we have our commitment to reduce carbon emissions, have a scope 1 or 2 target by 2030 and a net zero target by 2040. As you know, we've got a strong diversity, equity and inclusion ambition. And you'll see today, we've announced a new target to achieve gender balance in our company boards by the end of financial year '24. And we've got an intention to incorporate sustainability metrics within our remuneration plans over the coming period. In setting the group targets as a FTSE 100 company, we're mindful, however, that we are a group of small companies. And so we need to provide practical support so that our companies continue to focus on making their positive impact through the solutions they provide and not be swamped by the demands of the ever-increasing corporate response reporting burden. And so here are some examples of exactly how that works. At our Accelerate Halma leadership conference, we invited speakers from inside and outside the group to really reinforce the message that this isn't just about doing the right thing, it's also vital to our commercial success too. We've organized a variety of training programs, collaboration events, virtual resources that really share best practice. And that's going to be especially valuable in areas such as climate change and DE&I. And finally, Marc mentioned our IT investment. And part of that is focused on collecting the data from our operating companies to benchmark their progress, but also help to support their reporting and part of our corporate reporting obligations. So zoom out -- sorry, zoom in and see how the companies themselves are approaching things. I think the first thing to say is I'm hugely encouraged, hugely encouraged by not just the response from our companies, but more importantly, what we see they're already doing through their own sustainability initiatives. Firstly, a simple step is just to ensure that every company has a board member who's explicitly responsible for incorporating sustainability not just in their strategic growth plans, but also just in their everyday decisions, just as we have at group level with Marc. Our companies are also developing individual action plans to address the 3 key sustainability objectives that we have. So they're going to include plans how they're going to contribute to Halma's overall targets in carbon emissions and diversity, equity and inclusion. And it's this bottom-up approach which is really critical. It's particularly critical to Halma because it's the only way we can make progress towards net zero, towards our TCFD reporting, measuring our Scope 3 emissions. It's through the actions of those 45 to 50 companies that enables us to get there. So what do they do? Here are some examples of what they're doing. Let's think about climate change. One of our U.K. businesses, Fortress Interlocks, now this calendar year, will have 40% of their electricity consumption generated from their on-site solar facilities. They're also looking at reducing shipping costs and the carbon emissions associated with their products through investigating the use of alternative, lighter metals in their manufacturing processes. In terms of circular economy, Fortress themselves, again, are looking at alternative metals that are also more recyclable. And then Apollo Fire Detectors are exploring solutions to using more recyclable plastics in their fire detection products because they still need to meet the demanding product regulations. So there's a need there to get both the circular economy demand, but at the same time, meet the regulatory demands in their market. And across the group, companies are continuing to increase their positive sustainability impact by engaging with our digital growth enabler programs and also through the DEI training educational programs that we put on. It's a huge task, and I think the company recognizes it's a huge task. But I'm seeing some very encouraging signs and really look forward to sharing more stories like this in the coming months and the years ahead. So finally, let's take a brief look at how it impacts our M&A activity and how that is also critical to our sustainability, both in terms of the characteristics of the businesses in our portfolio, but also our ability to keep evolving it as our markets change. So M&A helps obviously expand our future growth opportunities. It extends our geographic reach. It adds new capabilities. And these are all valuable ways in which we can increase our positive impact aligned with our purpose. We've had a very busy first half. We've acquired 10 companies in the first half of the year, and also we made one acquisition in the second half. These acquisitions cover all 3 sectors, they cover 7 different countries, and we've invested a total maximum spend of GBP 112 million. Three of the companies will be stand-alone within the group. And each of them, really, I think, great examples of what we mean by businesses that have a positive impact aligned with our purpose. So we've got PeriGen, they sell, develop and sell digital AI solutions, which protects and keep mothers and babies safe during labor. We've got Ramtech, which is a wireless fire detection company, which developed systems for temporary facilities, such as construction sites. And then Sensitron, they manufacture a gas monitoring system, including those that are used to detect refrigerant gases, which we know are amongst the most harmful to the environment. We made 8 bolt-on acquisitions to existing companies to enhance their technological capabilities and market presence. And these included Dancutter, which is a Danish company with technology that's used to for wastewater pipeline rehabilitation, a great partner for Mini-Cam. Meditech then, a Hungarian company with advanced blood pressure monitoring technology, which has really strengthened SunTech. And then our most recent deal, which is Clayborn Labs, that's a really great addition to Perma Pure's environmental monitoring business. And I think as I said at the full year results in June, I really expect bolt-ons to continue to become a more important part of our M&A strategy as more of our companies have that critical mass and leadership talent to source and integrate these acquisitions successfully. We also made one disposal in the period that of Texecom, very much in line with our strategy of actively managing our portfolio so that's always aligned with the group's purpose but also with our financial goals over the longer term. I think I'm really pleased to see how the benefits of increasing resources and focus within our M&A teams across each of our 3 sectors, what's that -- what that is bringing to the group. And that's also reflected in the healthy pipeline of acquisition opportunities that we have for the future. So in summary, you've heard this morning that the core elements of Halma's sustainable growth model continue to enable us to make substantial progress in the short, medium and long term. We've delivered a record first half revenue, profit and dividends. We've continued to deliver strong returns, and that's been supported by the agility of companies in what are and remain fast-changing markets. We further increased our strategic investment to sustain our growth returns and the positive impact in the longer term. And we have a healthy M&A pipeline across all 3 sectors. In the shorter term, our trading remains positive. We have a strong order book. Our order intake remains ahead of revenue and of the same period last year. So taking all of this into account, we expect to continue to make progress in the second half of the year. And our recently upgraded full year outlook remains unchanged. That's the end of the presentation. Now we have some time for questions.
Andrew Williams: [Operator Instructions] And I think we've got our first question here from Will Turner at Goldman Sachs. Will, would you like to ask us your questions first, please?
Will Turner: Can you hear me okay?
Andrew Williams: Yes, we can hear you lound and clear, Will.
Will Turner: Great. I've got a handful of questions. The first one is more for Marc. I remember at the full year results, your guiding -- your guidance included the treatment of IAS 16 and was referring to, I think, at the time about some R&D treatment. I don't see any mention of this accounting treatment. Have you reached a conclusion on whether that's going to be in the adjusted earnings this year? And what was the conclusion from that treatment?
Marc Ronchetti: So Will, I think you're talking about IAS 38 and Software as a Service costs. From an IAS 16 perspective, we've already adjusted for that, and that's already in our numbers from FY '20. But from an IAS 38 perspective, we talked to the GBP 12 million of expected investment in IT and Software as a Service related spend. We do still expect that spend to come through in the year, albeit the phasing of that spend is between -- well, just over GBP 1 million in the first half is what we've seen and then just over GBP 10 million in the second half. So it's definitely something to take account of in our second half forecast, and that's included within the guidance.
Will Turner: That's clear. And then looking more broadly, obviously, a lot of your products require electronic components, sensors and I assume microchips. You've obviously been able to manage the supply chain disruptions and shortages pretty well so far. But has there been any areas of particular stress? And how have you been able to manage this, obviously, challenging sourcing environment?
Andrew Williams: Well, I think it was pretty clear in the presentation in terms of how we're managing it. But the company is -- we have the benefit of a very broad footprint, operational footprint where we've got 45 dedicated teams working on the particular challenges they have in their business and the ability to find alternative components, design those components in, find alternative sources, build up contingency stock of critical components has been an essential part of how we've managed our way through the challenges that we faced, and that's going to continue for a good period of time. So I think it's -- there's no -- I think it was clear from the presentation is there's no other -- nothing else to add to that because it's -- the actual individual challenges are very specific to each individual company. Okay. Will, was that the last question? It sounds like it was. So just move on then. Thanks, Will. We'll move on to a question that's been put in by Michael Tyndall, Mike Tyndall of HSBC. Mike's question is how should we think about your appetite for R&D investment versus M&A. Is there a point where organic opportunities might be such that you prefer to spend on R&D ahead of M&A? It was a good question. I think the start point for me is that from a top level point of view, we're not resource constrained in terms of our ability to invest. So certainly, since I have been CEO over the last sort of 16, 17 years, we've never had to make that trade-off. And as we look to the future, we certainly got the balance sheet strength to be able to continue to do both. At another level, there's no doubt that the best return on investment we get is from investing in the organic growth of our businesses. And so we are constantly challenging the businesses to invest more organically with R&D part of that, at the same time, recognizing that there is still risk attached to R&D investments. So quite often, there is a natural constraint within each of the individual operating companies in terms of their ability to handle significant R&D investment across multiple projects. So I think there's some trade-offs to be made there in terms of how we operate. But overall, at the moment, and certainly for the seeable future, it's more a case of encouraging the companies and the sectors to move forward on both fronts. Next, I'd like to invite Mark Davies Jones to ask his question. Mark, what would you like to know?
Mark Jones: Andrew, 2 or 3 things, if I may. Firstly, if we can go back to the supply chain issues. You're really doing a very good job of handling things. But are you seeing any second order effects because some of your customer industries seem to be struggling a bit more with this, particularly as we go into year-end? So are there any end markets where you're seeing those sort of knock-on effects? Second one was about China. Your Asia Pacific growth is very strong again. We keep hearing grim macro news and slowing trends and particularly real estate issues in China. Are you seeing any of that? Or does Halma continue to grow strongly in that market? And then the final one is, as you're adding back these -- the costs, are you being able to find the people you need? Is there an issue about how quickly you cost simply in terms of availability of labor?
Andrew Williams: Thanks, Mark. Perhaps I'll take the first one, and Marc can take the next 2. Yes, there -- as you know, there are small parts of our portfolio where we're selling into larger projects, albeit not a great part of the business. So certainly within some of our Safety markets, we are selling into larger projects. And there's no doubt that we haven't seen -- first of all, we didn't see -- haven't seen a strong recovery coming out of COVID for those projects that were delayed. And now as we look forward, we're seeing a very small number of those projects delayed even further. But it is a very small part of the portfolio. And quite clearly, it isn't having that broader impact on our business. I think then as we sort of look longer term, there's no doubt, again, that the agility that we have with the businesses that aren't part of the larger projects are still going to be the ones that are going to drive the growth of the group going forward.
Marc Ronchetti: Mark, if I pick up on the APAC China. I think the headline to say is that we've continued to see strong growth, 32% in China for the first half of the year, albeit against a weaker comparative last year. I do think then you take a step back and you think of the markets that we're focused on with regard to health, safety and the environment, they continue to have strong demand drivers. And I certainly see over the next 5 years, aligned to the China 5-year plan towards a greener China, that that would continue. That said, as ever, underneath that group number across the portfolio, you'll see a range of performances across many of those different end markets. But certainly, at the group level, those stronger end drivers of health, safety and environment are driving good growth. And then, yes, just picking up on the third point around the variable overhead costs. And I think your question was specific around labor. Again, just coming back to Andrew's point, it's the agility in the market that plays out here. There's no doubt that we're not immune to the challenges that others are seeing. And a part of that is labor shortages in identifying the appropriate labor. But what we do have is that agility with each of the individual companies being able to make those decisions, being able to access their local market and find ways of working through.
Andrew Williams: Next, I'd like to invite Andre from Crédit Suisse to ask his question.
Andre Kukhnin: Can you hear me?
Andrew Williams: Yes. Very well. Thanks, Andre.
Andre Kukhnin: Great. Could I start with a broad one, please, on the balance of your end markets. You seem to be firing on almost all cylinders, but I think there are still some segments that are lagging. So I just wonder if you could talk about what's still under recovered and hence, maybe it's got opportunity for a sequential recovery as we go forward. And at the same time, on the other hand, is there anything that you feel has become kind of a bit toppy and maybe over-recovered in your portfolio?
Andrew Williams: I think the obvious place where we're seeing still variable rates of recovery would be in the Medical sector, and in particular, the elective procedures coming out of COVID. There's certainly been a faster recovery in areas such as, let's say, cataract surgery where people are able to go to clinics and get the procedures done. Anything that's taking place in larger hospitals or health care facilities in specific areas of the world where COVID has continued to peak or further ways have come through, then that has been far more sporadic. So for example, in areas such as some of the spinal orthopedic surgery products that we've got, we've certainly seen that being more patchy across the U.S. depending on what's going on with COVID. So that would be the obvious place where I think we've seen that change. I think maybe the question behind your saying over-recovered. I think Marc picked up on that in the presentation, which is we've clearly seen very strong revenue growth. And clearly, there is strong underlying growth in there. Having said that, we know that there will be an element of restocking of customer distribution channels, an element of certain customers wanting to buy ahead because they are concerned about supply chain issues further down the line. But I think that -- we'll see that impact come through in the second half of the year and beyond. But the important point is, I think that probably will be balanced out by those markets that still haven't recovered yet. So looking forward, we think we're in a strong position going into 2022.
Andre Kukhnin: If I may follow up on this, clear on Medical, but I thought in Safety segment as well, kind of where are we on the process side, for example, versus 2019 at the moment?
Andrew Williams: Yes. I mean that plays back into the previous question we had, which is the -- on the -- I think there's sort of 2 or 3 companies in the Safety sector, which sell products that are part of larger projects, so in areas such as corrosion monitoring and some of the valve interlock. And clearly, as we discussed earlier, those larger -- some of those larger projects are still not coming through at the same rate. But they're a much smaller part, if you like, of the portfolio and less material than some of those Medical businesses I mentioned.
Andre Kukhnin: That's very helpful. And second question I had is on the IT spend and really the great purpose behind it. Could you just share with us a bit more detail on what this extra standards on and how you think about the return on that investment? How should we think about it kind of in 2023 and onwards? Will it be higher functionality or more of maybe a reduction of ongoing IT spend? What you're doing there with the IT and SaaS?
Marc Ronchetti: Andre, for a more fuller answer I'd point back towards the full year results, but I'll give an overview now. And I think the key thing here is that we're making investments both at the group level and down at the operating company level. We're looking to upgrade, on the one hand, around cybersecurity infrastructure. That would include remote working. And then on the flip side, around operational data analytics, certainly at the group level, upgrading our systems to allow us to give that insight across the group. And then, of course, it's about building a common call that we talked about previously of technology to support digital and IoT solutions within the operating company. So in the short term, that GBP 12 million of spend, just to remind you, was GBP 7 million in central IT systems and centers of excellence and GBP 5 million in local IT upgrades. In terms of looking forward, I mean, ultimately, investment in IT continues in terms of the returns that you're getting in terms of the world that we're operating in digital capability. So I certainly don't expect our investment in IT to stop. Probably a larger part of our R&D spend going forward will be around IT. But it's certainly not a drive to get efficiency, a drive to get cost savings. This is very much about meeting our customer needs and developing our products moving forward.
Andrew Williams: Thanks, Andre. I'd like to invite Andrew Wilson from JPMorgan to ask a question.
Andrew Wilson: Hopefully, you can hear me okay.
Andrew Williams: Yes, Andrew, we can.
Andrew Wilson: Great. I have 2. I'll take one by one. They're slightly different, I guess. I just wanted to ask about pricing. You sort of mentioned one of the advantage has been that sort of the autonomy at the local level meant the companies could be kind of, I guess, proactive around pricing and given obviously, some of the cost inflation across a number of different areas. And I'm just interested sort of practically how that happens, and I appreciate this might be different business by business. But is this a case where we can see this cost inflation coming through, and then it's relatively easy for you to go to your customers and set up? Or do you typically price up at the start of every year? Do you price the price list for most of the customers? Just kind of interested as to sort of whether there's potential lags in terms of prices coming through the income statement, and therefore, there may be benefits still to come? Or yes, I guess looking at the [indiscernible] how that sort of pricing works.
Andrew Williams: I think you've always answered the question yourself there. Depending on the structure of the markets that the businesses sell into, is it an OEM relationship, is it a business where I'm selling a finished product to individual businesses, it's a very different tactic required according to each business. And indeed, in some businesses, they're not in a position to pass on those price increases in quite the same way. So we do rely on that agility down individual operating companies to understand what the opportunity is and secondly, how they're going to approach that with their particular customers. And in some cases, those price increases can almost take effect immediately. And in other cases, because of longer-term supplier ranges, it may take 6 months or what have you for those price increases to come through. So it is very granular. But because we're typically acquiring businesses that have strong market positions who are providing really critical solutions to the customer, the opportunity more often than not is there. And in many cases, it is a straightforward honest conversation with a customer, which is saying, our input costs have gone up by x across these particular areas. We need to share some of that with you. And so we rely on the companies to work out the best way of dealing with that.
Andrew Wilson: Yes. That makes sense. That's very clear. A second area, I just wanted to -- you can clearly see it in the numbers, and it's not difficult understanding assets that you have that there are clearly some big structural tailwinds in terms of sustainability, which are driving, I guess, outsized growth certainly in some parts of the portfolio. I'm just interested in terms of how much do those sort of trends play into -- or increasingly playing into maybe when you think about kind of capital allocation and what the portfolio should look like? And I guess probably more interested from the perspective of does it have implication for some of the assets in the group which might not be quite as well suited, and therefore, you sort of potentially recycle capital from those assets into some of these, I guess, faster-growing areas going forward?
Andrew Williams: Yes. And I think you've seen a couple of examples of that over the last 12 months with 2 disposals, Fiberguide and Texecom, exactly to your point. I think one of the opportunities we see in terms of looking forward at trends is to what extent the stronger environmental trends are going to provide us with opportunities, and it was one of the key reasons we divided up the medical and environmental sectors back at the beginning of the financial year so that we could put real focus on our M&A activities in the environmental sector separately from the medical sector. And whilst it will take time for that to come through in terms of number of deals completed, there's no doubt that our visibility of some of those emerging trends is greater and becoming greater than it would otherwise have been. So I don't think anything changes in the sense that we are always reviewing that portfolio. As you know, we're structured in a way that makes it relatively easy for us to sell assets when they no longer fit with those longer-term trends. But we're in markets where you've generally got a little bit of time to reach those decisions and to sell the business because you've got long-term structural growing markets. And so I still think at this point in time, you're going to see a pretty good balance between acquiring a few more companies than normally we typically sell in a year. And looking at the portfolio today, there's nothing there that we think urgently or in the short term we need to take action on because it no longer offers us that opportunities for growth and returns.
Andrew Wilson: That's very helpful. Maybe I'll just squeeze a third one actually just related to that last sort of -- the last set of comments. You clearly have been very busy from a number perspective this year, and the comments seem to suggest that the pipeline was strong, which I appreciate that's been the case for a long time. But are you seeing a sort of greater willingness for some of these potential vendors to be sellers given that we've kind of been through pandemic coming on the other side and things in most markets feel reasonably good, and therefore, potentially that might be a trigger for sort of family on business, et cetera, to want to look to sell or [indiscernible].
Andrew Williams: There's always a lot of factors involved in private businesses wanting to sell. And I think you've picked up on a couple of important ones. As you say, the ability to have got through that what has been hugely stressful for private business owners over the last 18 months, the fact they've got through that, there's a sense of, okay, I now need to have someone to come alongside me and support me into the future. You've got businesses that have done extremely well, and they think it actually now is a good time to sell because my numbers, my growth rates look great. At the same time, as we all know, we talked about in the full year, there's also a lot of competition for assets out there. So I'd describe it as there's a lot more opportunities out there. There's also a lot more competition. And so it continues to be really important that we maintain our discipline in terms of finding the companies that have the alignment with the purpose, the financial characteristics that we're looking for and just keep looking for those opportunities rather than getting dragged into, I don't know, too many auction processes where you may end up with a good company, but you end up paying significantly more than we would typically want to for those types of businesses. Thanks, Andrew. I'd now like to ask Robert Davies to ask his question.
Robert Davies: Can you hear me okay?
Andrew Williams: Yes, we can, Robert.
Robert Davies: Great. Yes. Just actually on that M&A point, I was just looking to follow up, but just be interested across the businesses, where are you seeing the most aggressive selling, so asking multiples, I guess, on some of the businesses. Have you've seen stuff across, I guess, I'm thinking more in the environmental business. Have you've seen people putting green premiums on their businesses given all the attention in that sector and, I guess, multiples on the other side of the coin coming down for the sort of later cycle of process businesses. Do you see much disparity? Or is that not such an issue here? That was my first question.
Andrew Williams: Yes. I think certainly, we're -- and particularly on some of the larger deals, clearly, environmental -- anything environmentally related is certainly attracting a premium. I think there are other areas. If you look at some of the medical fields that we're in, anything to do with life sciences with the huge sort of drive in some of the new things going on in pharma, businesses related to that are certainly attracting higher multiples. So yes, there are some real hotspots. I suppose the only thing I would say is I'll take a big step back and say, if we go back again over the last, whatever, 30, 40 years in the markets we're in safety, health care and environment, you've always got those hot spots. And it's part of the value of having that portfolio where you can continue to find enough opportunities at sensible prices. So I'm not overly concerned that because of that, we're going to see sort of a drying up in deals because we can't either find those companies or the prices are too high for us to want to be part of it.
Robert Davies: Understood. And then the follow-up I had was just more broadly, I guess, around, obviously, you mentioned your strategic alignment and your kind of -- your strategy picture you put out there. I'd just be interested in terms of aligning yourselves with all these different environmental legislations and targets over the medium term, do you have any sort of idea what cost that's going to be to the business for doing that? I mean I know you've got a sort of very decentralized business model and how much duplication there would be from this alignment, and you get a kind of lack of benefit from not having a centralized model across the group. I just, I guess, curious in terms of the sort of, I guess, 10-year-plus view, do you have any sort of concept of what the cost for your green gender or green alignment for the overall portfolio is going to be?
Andrew Williams: Yes. That's a great question. And I think it is a question we are -- we don't know the answer to today. We're learning more as we go along. I do think that the -- as I think we sort of alluded to in the presentation that a big part of the answer does come from the small -- the high number of small steps the individual operating companies can take, whether it is renewable energy, whether it is the way they design their product. So there's both that reducing our operational footprint, and I think a lot of that has to be driven through the operating companies through those small steps. We've obviously then got the broader piece, which is the bigger positive impact that we have as a group through the solutions we provide, which clearly, the more we grow and the more we're deploying those solutions, the better then the impact we have on the planet. So I think you're right, I think there is going to be some cost. But on the other hand, I think that's going to be far outweighed by the benefit we gained from helping other businesses solve their own ESG challenges. I've got a question from Andrew Lo, and it says, you started work on assessing your Scope 3 emissions, how long do you expect this process to last? And are these likely to dwarf your Scope 1 and 2 emissions and make it likely that you will have to push out your net zero target to 2050 or well beyond?
Marc Ronchetti: Okay. Let me try and pick up on a few items in that question. So in terms of Scope 3 emissions, absolutely, we're working towards getting a net zero for our entire supply chain. Over the next 12 months, we're hoping to have an estimate by the year-end in terms of those Scope 3 emissions within the supply chain. Clearly, we've got a decentralized group and a very fragmented supply chain. So we're working through the best way to do that, coming back to the very question that was just asked, without paralyzing our business in terms of asking for lots and lots of supplier data from every business. So we're looking for ways to estimate that certainly by the year-end. And linked to that, will it likely dwarf Scope 1 and 2, I'm sure that will be the case very much with others. Our supply chain, we've got pretty low Scope 1 and 2 emissions and a large supply chain, so likely to dwarf. In terms then of net zero targets. We clearly have got out there a commitment on our Scope 1 and 2 net zero target. That doesn't change. And then as and when in the next 6 to 12 months we understand our Scope 3, we'll make appropriate commitments around Scope 3 net zero. But I certainly don't see it being a case of being out beyond what is achievable for other companies. And I guess the key bit in there is really thinking about, okay, how can we impact and influence our Scope 3 emissions as relatively for a group of 45 small companies. And that's why we've identified the circular economy as our third KSO because of a big opportunity for us with our supply chain is simply buying more and less from the supply chain in terms of recycling more of our products and materials, and many good examples of that across the group.
Andrew Williams: And then a follow-on question, what acquisition multiple has Halma paid across the 11 acquisitions? And secondly, how many weeks' visibility does the order book provide? Perhaps if I take those 2. We're typically, as a group, certainly, I'd say, over the last 2 or 3 years, paying somewhere on average between 10 and 12x EBIT for the businesses we acquire. Quite clearly, we're buying businesses for a very long-term hold, if you like. So for us, it's really critical to understand what the long-term growth of those businesses are likely to be and the cash that gets generated through that growth. And so there's certainly, I'd say, has been an elevation in price expectations, but certainly at a level that still are very accretive for Halma for the kind of businesses we acquire. Now on the order book side of it, yes, if you look over the last couple of years, so right the way through all the challenges that we've seen through COVID and now supply chain, typically, our order book has flexed somewhere between 8 weeks' worth of revenue and 12 weeks' worth of revenue. It's towards the higher end of that range at the moment. So nothing actively ordinary, and certainly within the realms of what we've seen previously. And finally, I've got a question -- Jonathan Hurn would like to ask a question. Jonathan, over to you.
Jonathan Hurn: Do you hear me now?
Andrew Williams: Yes, we can hear you now, Jonathan.
Jonathan Hurn: Yes. Sorry about that. I just had a few questions. I think first question was just on Environmental Analysis. I think your previous guidance was obviously that margin was going to normalize in fiscal year '22. I think when we look at the first half, obviously, is a really strong performance in profitability. How do we think about that margin in the second half? How much further -- or how much do you think that will come back in H2? That's the first question.
Marc Ronchetti: Yes. I think very much in line with the rest of the group. Those trends that I shared across the group are pretty consistent across the sectors. What you're seeing is that part leverage from the revenue growth that we saw will be up against a more normalized comparator, so you won't see that same level of leverage. But more importantly, it's those variable overheads that are rightly coming back into the business. We saw that in quarter 2. And within each of the sectors, the return on sales was at levels that would be more appropriate and more in line with what we've seen historically. So I think your best point to start for E&A is to look at the historical H2, and I don't think that will be a million miles off of where we'll end up.
Jonathan Hurn: That's great. Second question, again to you, Marc. Just thinking about that GBP 5 million bad debt provision, is that still being held centrally or is that going to [indiscernible]
Marc Ronchetti: It is, yes. So we still -- we haven't released the bad debt provision and rightly so. As part of our year-end audit and our half year interim review, we review the risk of bad debt in the business. It represents in total just under 2% of our debt balance, so it feels an appropriate level to be carrying in what is a pretty uncertain environment at the moment. So we will review that at the full year. It isn't included in any of our forecast or guidance in terms of any change to that level of provision.
Jonathan Hurn: That's very clear. And the third and final question was just on your digital strategy. I think the last time you heard from digital accounts for about 40% revenue. Can you just give us a little bit more detail sort of the developments of that, basically, what rate is it growing at? And what's the outlook going forward for digital business?
Andrew Williams: Yes. The latest figure shows that it's growing in line with our revenue. So it's still just above 40% of revenue derived in digital products. And we're seeing -- we are seeing the companies really engaging again with the digital projects that we've got. So some recent examples of that. And again, these are more exemplars rather than saying that they've made a material impact on the financial performance. We've got our business labs here that launched a high accuracy satellite calibration as a service solution. In other words, that satellite providers can recalibrate their satellite cameras on a frequent basis. They can do relative and comparative imaging. And then we've got our 1/3 business, which was the business we spun off earlier in the year, as one of our development -- digital projects. That's now it’s own start-up and really doing well. And just to remind you that, that's a business that's focused on reducing food waste in supermarkets by being able to measure and estimate the shelf life of fresh produce. We've got more than 200 of our leaders joining its digital development programs. We've, I think, got 28 new digital projects underway across the group through our internal innovation network. And obviously, we've got -- if you look at some of the M&A additions, the likes of PeriGen, which is using AI for early warning systems during mother and baby during labor. We've got NavTech. They've got a partnership with Oxbotica, which is combining radar technology with their AI software for autonomous vehicles. And then some of our Medical businesses are looking at using and developing AI platforms to diagnose common eye health care problems. So I think it's happening across the group. At the moment, it's keeping pace with the growth of the group, and it will be one of those things that we'll be able to track further as we go through the next couple of years. Okay. It looks like that's the end of the Q&A. Thanks, everyone, for attending today and for your questions. We look forward to catching up with you soon. Thank you.